Operator: Good day, ladies and gentlemen. Welcome to Vista Gold's Third Quarter 2025 Financial Results and Corporate Update Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. Today is Thursday, November 13, 2025. It is now my pleasure to introduce Pamela Solly, Vice President of Investor Relations. Please go ahead.
Pamela Solly: Thank you, Sylvie, and good day, everyone. Thank you for joining the Vista Gold Third Quarter 2025 Financial Results and Corporate Update Conference Call. I'm Pamela Solly, Vice President of Investor Relations. On the call today is Fred Earnest, President and Chief Executive Officer; and Doug Tobler, Chief Financial Officer. On November 12, 2025, Vista reported its operating and financial results for the quarter ended September 30, 2025. Copies of the news release and quarterly report on Form 10-Q are available on our website at www.vistagold.com. During the course of this call and the question-and-answer session, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed Form 10-Q for details of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements and the cautionary note regarding estimates of mineral resources and mineral reserves. I will now turn the call over to Fred Earnest.
Frederick H. Earnest: Thank you, Pam, and thank you, everyone, for joining us on the call today. During the third quarter, we achieved a significant milestone with the completion of a new feasibility study for the Mt Todd gold project. The results of the study were announced on July 29, 2025. And this new study represents a fresh vision for the project as a 15,000 tonne per day operation, one that prioritizes lower initial capital costs and higher ore grades. The study underscores our commitment to see Mt Todd developed as an Australian project. I'll talk more on that later in the call. As we continue to evaluate strategic options for developing Mt Todd, we have started modifications to existing permits to align them with the new 15,000 tonne per day project and initiated technical work in preparation of a decision to commence detailed engineering. I'm pleased to report that we ended the quarter with a solid cash position, which Doug will discuss shortly. Additionally, we have now achieved 4 years without a lost-time accident at the site. We are committed to prioritizing the efficient use of our cash and creating long-term value for our shareholders through disciplined execution of our strategy for the Mt Todd gold project. I will discuss some of these topics in greater detail later in the call, but I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended September 30, 2025.
Douglas Tobler: Thank you, Fred. And I'll begin today's discussion with a summary of our results of operations for the 3 and the 9-month periods ended September 30, 2025 compared to the same periods for 2024. For additional details, our full financial statements and our MD&A are included in our Form 10-Q that was filed earlier this week. For the 3-month periods ended September 30, '25 and '24, we reported net losses of $723,000 and $1,638,000, respectively. The most significant reason for the decline in our net loss in the current period was our recognition of other income upon recovery of $1,257,000 for taxes that were paid in connection with the 2020 sale of the Los Reyes gold project in Mexico. Minor offsets to these incomes resulted from slightly higher Mt Todd exploration and evaluation costs and administrative costs. Now for the 9-month periods ended September 30, 2025 and '24, we reported a net loss of $5,787,000 for the 2025 period and net income of $12,922,000 for the '24 period. The change between the '25 and the '24 periods resulted mostly from 2 gains recognized during the '24 9-month period. First, we recognized a $16.9 million gain on the grant of a royalty interest to Wheaton Precious Metals. And secondly, we had an $802,000 gain on the sale of a portion of our used mill equipment. Partially offsetting the change that resulted from these 2024 gains was the $1,257,000 Mexico tax recovery that I mentioned previously. Turning to our financial position. We continue to maintain a strong cash position with $13.7 million on hand at September 30, 2025. This compares to the $16.9 million cash on hand at December 31, 2024. We were successful in limiting our net decline in cash during this 9-month period because of the Mexico tax recovery and selected use of our ATM program. Also, we continue to have no debt. Looking forward, we expect our recurring costs and other expenses to remain largely in line with our expectations. For the 12-month period following September 30, 2025, the company estimates net recurring costs will approximate $7.4 million, plus an additional $2 million related to ongoing and currently planned work at Mt Todd. Thank you. That concludes my remarks. Fred, I'll turn it back to you now.
Frederick H. Earnest: Thank you, Doug. Let me first talk about the feasibility study. As I mentioned earlier, during the quarter, we completed a new feasibility study for Mt Todd that presents a fresh vision for the project as a 15,000 tonne per day operation. The study significantly decreased the initial capital cost to -- from over $1 billion to $425 million, prioritized grade over tonnes, delivered stable gold production over a 30-year mine life and incorporated design and operating practices commonly used in Australian gold operations to reduce development and operation risks. The new feasibility study marks a significant shift in the strategy for Mt Todd, demonstrating the potential for near-term development of a smaller, lower capital cost project than those previously evaluated. At the feasibility study gold price of $2,500 an ounce, the net present value at a 5% discount rate is estimated to be USD 1.1 billion, with an internal rate of return of 27.8% and a payback period of 2.7 years. At a still conservative gold price of $3,300 per ounce, the net present value on an after-tax basis at a 5% discount rate is estimated to be $2.2 billion, with an internal rate of return of 44.7% and a payback period of 1.7 years. Obviously, these economics demonstrate very strong leverage to the price of gold. For additional information on the feasibility study results, please refer to Vista's news release dated July 29, 2025 and the feasibility study presentation, both of which can be found on our company website. Switching over to permits. As we've discussed in the past, we have all of the major permits for the previously evaluated 50,000 tonne per day operation. As all will appreciate, with design changes, with the rising gold price, there are some differences. And in order to align the new 15,000 tonne per day operation with those permits, modifications to some of those permits are necessary. The work commenced during the third quarter and is ongoing. Switching to technical studies. We are completing technical work in advance of a decision to commence a detailed engineering. The primary objective of these programs is to characterize material properties and attributes to support early-stage engineering and equipment selection decisions. During the third quarter, we maintained our focus on safety, environmental stewardship and stakeholder interest. The Mt Todd team passed the very significant milestone of 4 years with no lost-time accidents. We're very pleased with this achievement. We remain committed to our health and safety programs and our focus on extending this achievement. Site personnel continued to successfully manage Mt Todd environmental initiatives, and management continued its proactive engagement with the Jawoyn Association Aboriginal Corporation and other key stakeholders. Looking ahead, we believe Mt Todd holds tremendous intrinsic value and represents an exceptional investment opportunity at conservative long-term gold prices. With an all-in sustaining cost of $1,500 per ounce and a very conservative gold price of $3,500 an ounce, the Mt Todd gold project will generate approximately USD 300 million of free cash flow annually. Looking at this from another perspective, at a $2,500 gold price, the study net asset value per share is $8.41 per share. And at a $3,300 gold price, the study net asset value per share is $17.14 per share. That's nearly 10x our current share price. I think these numbers support our belief that there's a tremendous opportunity here and a -- tremendous opportunity to acquire Vista shares and see a significant increase on returns. We're very pleased with our share performance to date, which reflects not only the rise in the gold price, but also the market's strong support of the new Mt Todd 15,000 tonne per day feasibility study. Vista shares have increased approximately 210% year-to-date, with our market cap at approximately $220 million. We anticipate sustained strength in the gold price will continue to positively influence Vista's share price performance. Today, with much higher gold prices and growing investor interest, Mt Todd is positioned as one of the most attractive development-stage projects in the gold sector. Its strong project economics, favorable jurisdiction, permitting status and existing infrastructure make it well suited for near-term development. We are confident that this is the right market in which to advance Mt Todd. In conclusion, Vista is committed to seeing Mt Todd developed in compliance with the highest mining and ESG standards, and we'll work diligently toward that goal. For more information about Vista Gold, the Mt Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity and that current prices represent a tremendous opportunity to establish a position or increase one's holdings in Vista Gold. This concludes my formal remarks, and we will now respond to any questions from participants on the call.
Operator: [Operator Instructions] Your first question will be from Heiko Ihle at H.C. Wainwright.
Heiko Ihle: Sorry for the background noise. I'm traveling, as you can probably hear. Hey, in our view, the project is one of the largest benefactors of the current metal pricing environment that we're in. At the start of this call, we were at $41.50 an ounce, which is nuts. It's probably even better in Australian -- probably it is even better in Australian dollar terms. You're only using $2,500 an ounce in your feasibility study. Can you just give a bit more color on the change at current prices due to the study? And how much of that has been reflected in investor and potential partner interest? I mean it seems like things are firing on all cylinders, but just add a bit of color on what you're seeing from the other side of the negotiating table.
Frederick H. Earnest: Well, Heiko, just in general terms, obviously, at a $41.50 gold price, project economics are substantially better than the numbers that we discussed on the call. And that just speaks to the tremendous leverage that we enjoy in the project and the leverage to the price of gold. Obviously, these gold prices are driving a lot of dynamics in the market. And there's -- since announcing the feasibility study results, we have signed additional confidentiality agreements. We continue to see interest in the project. And we continue to move forward on all of the options that we have available to us. We have not shut off any avenues for advancing Mt Todd and, in fact, continue to be open to any of the options that we've laid out previously, ranging from an opportunity or a decision to advance Mt Todd as a standalone project, to forming a joint venture to develop it with an appropriate partner or even considering an appropriately valued corporate transaction.
Heiko Ihle: Fair enough. Same question, but different -- and with a very different change. You've always had very good relationships with the Jawoyn. I mean any detail on how they've reacted to the latest feasibility study that came out? Did they provide any input, any commentary after it came? I mean I know you guys are talking very much on the regular.
Frederick H. Earnest: Yes, I've been in Australia several times since announcing the feasibility study results and had meetings with representatives of Jawoyn leadership as well as their board of directors. The Jawoyn continue to be very supportive of the Mt Todd project and very hopeful that it will go forward in a timely manner. I think as most people know, that we have a contractual relationship with the Jawoyn, we have a couple of royalty agreements, and they stand to benefit economically from the development of the project, and they are supportive of the project and keen to see it move forward.
Operator: Next, we will hear from Mike Schultz, investor.
Mike Schultz: Fred, can you hear me?
Frederick H. Earnest: We hear you loud and clear, Mike.
Mike Schultz: Okay. Great. A couple of questions. So one is, can you shed light on like the number of confidentiality agreements that have been entered into since you announced kind of the recent feasibility study? Not exact numbers, ballpark -- yes.
Frederick H. Earnest: Yes, Mike, we don't disclose how many confidentiality agreements we've signed or who they're with. That's just a matter of corporate practice. But we have signed a number of new confidentiality agreements and we continue to see new interest in the project.
Mike Schultz: Okay. And then the second question is just I know that you've kind of come with the new feasibility study, you've opened the door some to potentially developing it on your own on -- Vista developing it as a standalone. What are the trade-offs there? Because like, I guess, if you enter into a partnership agreement, you're giving something up, versus if you do it standalone, you're having to pay finance costs. What are the benefits of a partner versus just going ahead and deciding to do it as a standalone?
Frederick H. Earnest: That's a very astute question, Mike. There are some very significant trade-offs between either of those 2 execution strategies. Certainly, bringing in a joint venture partner, the advantages would be reduced dilution. There wouldn't be a need to issue near the number of shares of equity participation. But I suppose you could say that dilution would happen in a different way and, as you pointed out, you'd be giving up part of the project to bring in a joint venture partner. Ideally, and I don't think we would do a deal if we weren't satisfied with this condition, but a joint venture partner would bring to the table a project development team and an experience and reputation in developing gold projects, that we hope that the market would recognize and reward. And so that would be a benefit. Obviously, the biggest tradeoff there is that you're giving away part of the project, likely 50% or more, to bring in that joint venture partner. On the other hand, developing it on a standalone basis preserves 100% ownership for the Vista shareholders. It involves Vista building a team to advance the project and putting together that carefully, and selectively putting together that team of people, and sometimes that takes time. But obviously, there's some advantages there economically in that we retain 100% ownership. And there's different ways to finance this that could be some that are more attractive and more advantageous for shareholders than others. Doug, do you want to chime in with any other thoughts on this question?
Douglas Tobler: Yes. I mean, I think you've hit the big points. It's around, on a joint venture opportunity, obviously, you'd be looking for a premium to the -- what our current share price is, if that's the driver of valuation. But keeping it yourself, you have the whole thing to work with, but you do have to take on, most commonly, you take on debt and you have a larger dilution. But having 100% of it is very helpful. I think one key point to make, which you brought up, Mike, is this option of looking to build Mt Todd on our own is really a valid option at this point in time, which we haven't had previously when we were a large project and needed to rely on finding a partner. So it definitely opens many more doors.
Mike Schultz: Okay. Well, that's -- the answer is very helpful. I just, as an investor, as soon as something definitive is announced, and I think a lot of things could happen and I know you guys are evaluating that, but from an investor standpoint, you're just kind of waiting for something to be announced. And knowing that you can do it as a standalone does give you the option to do it if you -- if the partnerships don't seem favorable.
Operator: Thank you. And at this time, Mr. Earnest, we have no other questions. Please proceed.
Frederick H. Earnest: All right. Thank you, Sylvie, and thanks to all of you who have been on the call today. Obviously, we're very excited about where the project is headed and the results of the feasibility study. I'd like to go back to a point that I made just in closing, and that is we've seen a lot of volatility in the gold price in the last month and we've seen our share price move up, move down. I'd come back to the 2 concepts. The one is, what is the free cash flow that the project will generate? And again, using some very conservative numbers, we know that our all-in sustaining costs as estimated in the study would be just a little under $1,500 an ounce over the life of the project. And to make the math easy, just using a $3,500 gold price, so that's $2,000 in margin on 150,000 ounces of gold per year, that results in free cash flow of $300 million a year. This is a very robust project. I think that that number alone should attract people's interest. Looking at it from a different perspective, and that is looking at the study net asset value, and again, using these conservative gold prices that are published along with the feasibility study, first at $2,500 gold price, which results in a study NAV per share of $8.41, and comparing that to the $3,300 gold price study NAV per share, which is $17.14, and again, I'd point out that that latter number at still a very conservative gold price is 10x our current share price. I think both of these numbers speak to the fact that Vista is considerably undervalued, that there's tremendous upside opportunity here. And while the gold price is moving up and down, and I know that that causes some people some -- a little bit of concern and anxiety, I would suggest that this is a tremendous opportunity and a good time to be considering an investment in Vista Gold. We're doing the things that we feel are important to lay the groundwork for that future decision as far as how we develop the project. We continue to be very cautious and careful and prudent in the way that we manage the cash that we have. And we think that we're on the path to unlock significant value for shareholders. I'm excited about the opportunities that lie before us. I invite you to seriously consider and evaluate whether this is the right time for you to make an investment in Vista Gold. And if you already own shares of the company, I invite you to consider whether this is a time to increase your holding. We're in a very dynamic gold market. I think that we're at still in the very early stages of a bull market and that we will continue to see gold price increase, that that will be a contributing factor to all of the work that we're doing at the company to drive the share price higher and to create value for shareholders. So with that, I thank you for your time today and wish you all a very pleasant day. And thank you for participating in this quarterly conference update call.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.